Operator: Thank you for standing by. My name is Kathleen, and I will be your conference operator today. At this time, I would like to welcome everyone to the M-tron Investor Update. [Operator Instructions] I would now like to turn the call over to Mr. Cameron Pforr, Interim CEO. Please go ahead.
Cameron Pforr: Thank you, Kathleen, and good morning, everyone. Thank you for attending our investor update this morning. We're pleased to speak to you about our preliminary earnings release for Q4, and also the preliminary annual results for 2024. We did post those last night to the SEC and an 8-K and put out a press release on that. So hopefully, you all have a copy of that. Just a note, we do expect to file our 10-K with our audited results on or about March 26 or 27, so later next month, but they -- we are very far down our audit process and don't expect substantial changes. So for those of you who don't know me, my name is Cameron Pforr. I joined M-tron this past September. I was recently named Interim CEO, having served over the past several months as CFO. And just a little bit of background and then we'll get into more of the company, which I know is what you're more interested in. My background is 30 years of experience in technology company management advisory roles. I spent the last 15 years running companies from startups with less than $1 million to software companies with over $100 million. And this is -- of those companies, we sold two of them, one to Cisco, one to Red Hat, returned significant returns to investors. I also have a lot of combined corporate finance M&A experience as an investment banker and also as an adviser of any company. So I have raised about $12 billion in equity and executed on over 30 acquisitions and hope to bring some of that experience here at bear. So today, we're going to talk about the -- give you an update on the health of the business, talk about the direction that we're taking things forward and answering questions you have about the business and our recent announcements about the rights offering. And this morning, we did put out a press release that we're going to shift gears there and move towards a dividend warrant. The goal there is really to distribute value to our shareholders in a fair and equitable way. And we've kind of refined how we're doing that. I think this is probably a better tool to do that. So I'm pleased to be joined this morning by Linda Biles, who's our EVP of Finance and also our Chief Accounting Officer. Linda, if you can just introduce yourself and maybe go through the safe harbor statement? I appreciate that.
Linda Biles: Good morning. I'm Linda Biles. I'd like to go over our safe harbor with you. Information included or incorporated by reference in this presentation may contain forward-looking statements. This information may involve known and unknown risks, uncertainties and other factors that may cause our actual results, performance or achievements to be materially different in the future results, performance or achievements expressed or implied by any forward-looking statements. Forward-looking statements, which involve assumptions and describe our future plans, strategies and expectations are generally identifiable by use of the words may, should, expect, anticipate, estimate, believe, intend or project or the negative of these words or other variations on these words or comparable terminology. Examples of forward-looking statements include, but are not limited to, statements regarding efforts to our revenue, expectations regarding fulfillment of backlog, future benefits to operating margins and the adequacy of cash resources. Actual events or results may differ materially from those discussed in forward-looking statements as a result of various factors, including without limitation, the risks outlined under Risk Factors in the information statement contained within our Form 10-K filed with the SEC on March 25, 2024. In light of these risks and uncertainties, there can be no assurance that the forward-looking statements contained in this presentation will in fact be accurate. Further, we do not undertake any obligation to publicly update any forward-looking statements. As a result, you should not place undue reliance on these forward-looking statements. With that, I'd like to turn it back over to Cameron.
Cameron Pforr: Yes. Thank you, Linda. And okay, I'm going to start presentation with the MPTI overview slide, which you should all have from our website. And I really just wanted to give you a brief update on the company for those of you on the call that is new to it. But we were formed in 1965 and listed on the New York American Exchange in October of 2022. And we've been focused on the aerospace and defense market since the acquisition of PTI in 2004. So there was a fairly significant shift in the business not in terms of products, but in the markets that we went after. Today, we're an American-made defense contractor specializing a robust, engineered, frequency and timing control and filter applications. We have about 2.9 million shares outstanding, and we also enjoy broad employee ownership. At the end of 2023, we distributed 183,000 options to our valued employees based on their tenure with the company, really to reward their behavior over the years, their contributions. And we're really pleased that they're shareholders in the company and strong believers in what we do. We're well positioned to continue to access long-term value creation opportunities, and we'll talk about some of that today. If we move to the next slide and some of the key takeaways that we want to share with you today. We continue to perform well and announced our preliminary earnings for Q4 in the 2024 annual period last night. We're a unique American story, I think, founded in 1965 with tremendous, tremendous engineering skills and capabilities. It's been built out over the years to serve our nation's defense sector and other key markets such as avionics, space and satellites and the commercial sectors. And in the commercial sectors, we play strongly in the telecom area and also in test and measurements. I think what's really unique about us is that we're vertically integrated with the capability to start with the raw crystal and complete it all the way to produce a finished oscillator filter. We're really one of the only companies in the market that supplies both oscillators and filters. And we do this in terms of how the manufacturing process using CNC machining, surface mount assembly, we have a full suite of test and screening capabilities to ensure robust designs and we have high-quality products. In the production of these components and subsystems is they're really designed to be very high tolerance markets, as much as art as a science, we depend upon our highly skilled and motivated workforce based in Orlando, Florida; Yankton, South Dakota and Mumbai, India for assembly, and we really appreciate all the work that they do and the diligence they bring to the job. We have a global customer base including many of the industry leaders in our key markets. And many of our customers, most in fact, really have been with us more than 10 years. Since the end of 2024, and just at the end of the year, we announced two big $10 million-plus contract wins. One, we received just in the last days of 2024. And then the second one, we received at the very beginning of 2024. And it's really -- it strengthens our pipeline. And we also expect to have several other large contracts like that coming into the next quarter or two. And the momentum continues for the business. So we supply many of the key defense programs for both the United States and our allies. And this includes a broad set of applications, including precision guided munitions, communications, radar, electronic warfare, drones and UAVs and even space and satellite applications. All these applications require really high tolerance products and the integration and the communication between systems is ever increasing. It's really increasing the demand for our products. Despite the recent discussions in Washington about potential defense cuts, we've seen no slowing of our engagement with customers or our sales processes. They all remain on track. I would say there's not even a slowing down of those process. We expect bookings and revenue in the coming years, few years to remain strong, and that will really be driven by the replenishment of U.S. stockpiles. And also the increase in expected European defense spending, which I think there's a lot of discussion about. And if you look at the European stocks, a lot of the European defense stocks are up quite a bit. But most of the European countries spend over 60% of the defense procurement budgets acquiring from U.S. defense suppliers. In addition, another note I wanted to add that Pentagon has been very explicit about carving out some key programs out of any discussion of budget decreases in the U.S. And a lot of these are in areas that we play a key role in. So they've discussed explicitly carving out key air defense systems, precision munitions and missile programs, which we're a large part of, autonomous vehicles, so drones and UAVs where we play. And some of the surface ships and other platforms where we're key suppliers. And they're also kind of key priority areas for our growth. In addition to the defense sector with the resolution of the strike discussions of Boeing, we expect to be able to fulfill order to supply like a large backlog of Boeing airframes -- Airbus airframes out through 2041. I believe the common word on the street is that there'll be 80% more airframes or 80% of airframes being replaced in those years. And so we expect to have strong tailwinds there. In terms of margins, I want to talk about margins a little bit. Our margins remain strong with gross margins around the 40% mark for the quarter and over 46% for the year. So this is a really sort of 1,000 basis point increase over the past three years. We're getting a lot more leverage out of the model and dropping more cash to the bottom line. And this is the result of our product mix, also improving just our manufacturing efficiencies and reducing our inventory usages and being more efficient with our raw product. We ended 2024 with a strong balance sheet, and we expect cash to accumulate significantly throughout this fiscal year. There are some remaining options to be exercised by our employee base, and they would account for an additional up to about $3.6 million of cash potentially if they're exercised this year. I wanted to talk a little bit about where we're taking the business and the business itself, the core business remains very strong. I do think we're going to spend a little bit more time in the future, exploring the use of partnerships and acquisitions to provide inorganic growth to the company. And also we talked briefly in our press release last week about also an investment in a group called Connectivity Partnership, which we'll be making investments in RF communications companies in a number of sectors, many of which we don't participate in. So this gives us a window into new market opportunities. And I'll go through that in a little bit more detail. I expect you'll see over the next couple of quarters, announcements detailing our progress along those lines. And we're really seeking to expand our product portfolio, gain new customers and increase our traction in growing markets, and most importantly, consistently grow our EBITDA and EPS for our shareholders. So when we look at acquisitions, we're looking at accretive transactions where MPTI can play and provide value to combined entity, whether that's through our strong sales network, our manufacturing capabilities or engineering talent. And the goal is to acquire companies and bring them to our margin profile as quickly as possible. And given the large fixed transaction costs and the legal advisory fees and just the time it requires from our team for the integration work and diligence, we're trying to concentrate on potential transactions that can add meaningfully to the EBITDA to our bottom line. And when the company has meaningful technology, it's a little bit too early for development cycle and it's development cycle provide that earnings profile we're looking for. We need to partner with it for development of products, for manufacturing of products and for sales and assisting their sales or we can participate through a potential investment by connectivity partners and then either exercise the right in the future to acquire or partner with that business to drive revenue from both firms. Then, I want to turn next to the next slide and really speak to our Q4 results. So you saw in the press release that our preliminary revenues were up significantly in the quarter over the prior year. It's a year-on-year increase between 17.9% and 20.7%. So it remains the third year in a row that we've had near 20% growth on the revenue line. In addition, our quarterly gross margin was also strong, and we expect it to be in the range of just shy of 46% to 48.5% or 47% for the fourth quarter. And that's comparing to -- that's up 200 basis points from the fourth quarter of 2023. So 2024 has continued to be a very, very good year for the company in terms of its execution. If you look at the fiscal year results, revenues are expected to be between $48.9 million and $49.2 million in '24 compared to $41.168 million in 2023. This represents an annual growth rate of between 18.8% to 19.5%. And as I said, that's -- that will be the third year of an annual growth rate close to approaching the 20% mark. And I think these results really reflect the strength of our strategy and the dedication of our team and in order to trust our customers are placing in us and we continue to execute on their behalf well. We haven't finished our tax provisions yet. Otherwise, we will provide operating income and net income, but they are expected to remain close to the same percentages that we saw in Q3 and are the long-range goals that we've outlined in prior investor presentations. So no radical changes on that front for Q4 or for the annual results. Okay. We're next going to move to some of the investment highlights. And this is really just I think a repeat of what you've heard in the past, if you follow that, but I think it's tracking well. We are seeing strong revenue growth and expect that to continue. And we're now in the phase of the company where we're generating a lot of cash, and we expect to drive earnings up throughout the period. We have long-term contracts and loyal customers, and they're very attractive and large end markets. At this point in time, this is something we talked about a little bit. We've become a critical part of the U.S. supply chain, mission critical supply chain. And for our aerospace and defense business, which is close to 70% of our business this past year, mid-60s to 70% in the quarter, where our 85% of that's program driven at this point in time, which means we're part of long-term contracts for programs of record from the defense department. And that's critical because that helps you weather budget storms like when things are going through late budget approvals, we're still able to benefit from that because we're on program of record and any continuing resolution can fund further purchases of our products. And we're -- and those programs of record typically last five to 25 years in the defense sector. And just an example of that is in this past year, the Patriot missile system, which is a stalwart that's used around the globe and is in the news quite often, was up for a redesign and they've decided that there really are no competitors, and it's quite effective still. And so that program has been extended again without a redesign. So that's going to be a program that is well over 25-year margin. We also feel we have compelling financials with the organic growth that we've shown over the past year and the improvements we made in the business. And now we're looking more at an inorganic growth strategy to complement that. And then lastly, we have a very strong management team. Linda is a part of that, Bill Drafts, who I think will be on the next call when we do our 10-K earnings release in March, will also join us. He's the President and COO. Both of them have a long tenure at the company and a clear understanding of our business, and we work well together to support our employees and also our shareholders. Okay. I'm going to turn towards the opportunities for growth slide and talk a little bit more about our M&A strategy and our partnership strategy. We're really focused on improving our market position through acquisitions and for more products and entering new markets or else gaining key customers. Our organic growth has been contributing to this. And if you look out in the past year, we've had over 30% of our revenues are generated by new products or products developed within the last several years. And we're continuing to hire engineers, additional engineers to help us make good progress, penetrating markets and penetrating programs. So we're looking for inorganic methods as well to accelerate that. So in terms of the type of profile of companies we're looking for, we're looking to companies that have moderate to strong revenue growth and also have positive cash flow. That they fill key products or technology gaps. They can bring new customers or end markets or help us accelerate into new markets. And they also support our desire to move more into solution sales. And so we've been doing that on our own. We're selling subsystems now modules as well, but acquisition or partnership is another key way to do that. And we also want to find companies where hopefully we can also leverage what MPTI is already built and honed over the years to help accelerate their traction. And lastly, there's a slide here, which shows some of the technologies we're looking at, just to get a feel for it. We're open to ideas of companies you're aware of that you think might be a good fit. Really, the key here is to add additional products and technologies to our portfolio. This gives our sales reps additional products on the line cards and helps solidify our engagement with customers and helps us move more into the subsystem space. And so some of the areas we're looking at are RF amplifiers, mixers, power dividers and couplers, phase shifters, diplexers and waveguides. And we're also looking at subsystem providers and also people who provide sensors or keep components of avionics and other areas like that for growth. And the last thing I'll leave you there is we're looking at a company that do have revenues, that are growing the revenue, but they might need some improvement there and that already have an EBITDA -- they're already offering EBITDA and probably around the $2 million to $5 million EBITDA range. And this is something that we think we can acquire and integrate well, and it will also be a meaningful driver of our EBITDA numbers and our EPS. And then lastly, I think it's important to consider, we are a publicly listed company. So we have a lot of flexibility in how we can finance acquisitions, so we can -- we're accumulating cash. We have the ability to borrow. We already have a line in place with Fifth Third Bank, and we're looking to expand that. We can raise capital from our investors -- our current investors or issue shares to target shareholders. We prefer to use as first methods just to enhance the returns to the current investors in the company. And then lastly, I want to mention another thing is that we went through a strategic committee process to review this past year. We looked at acquisition targets and identified quite a few. We also tried to identify if there are other companies in the marketplace that are maybe a similar size or even larger that are interested in going public and using our listing as a means of providing liquidity and also serving as an acquisition platform. And so that's something we're not against, and this is something that we would consider if that's going to provide meaningful returns to our shareholders. And really, our goal as a company is to become 2x to 3x our current size in the next few years, to continue to gain market share and market presence, and to increase the number of types of products our reps have in their line cards and grow our earnings. So that's the update on the business. I did want to talk briefly about the offering -- the rights offering and now this morning's announcement about a warrant dividend. Just to clarify that for some of you, and then we're turning to questions from the groups. So many of you are aware that we announced a rights offering last week. The goal of that was really to distribute value to shareholders. We are at the point now where we're generating cash for -- that help drive our business and fuel growth of the business. We appreciate your interest and investment in the company, and we want to reward you for it. But given the volatility of the stock and also some of the feedback we received and just the engagement that we have done with shareholders and stakeholders, we thought we should look for an alternative way to approach that. So we did this morning announce that we were canceling the rights offering, and we were going to use another vehicle similar to that called a warrant dividend, which is essentially a right, but it's a longer-term right, to provide that value distribution to shareholders that was our goal. So with a warrant dividend, it's essentially a right to buy a share. So for every shareholder of record, they'll receive a warrant dividend for warrants. The warrant -- for five warrants you're allowed to purchase one common share of stock. The warrant dividend sales will remain open for three years once it's declared and we have a record date, we open -- we distribute the warrants. And it will also have an early trigger. And we spoke this morning in our press release about the strike price of the warrants being $47.50. And that would be something you would act on at the end of the 3-year period unless during the course of the next three years, our stock trades up to the $50s, and the average VWAP of the company for 30 days is $52 a share or greater. The warrants are going to be on -- tradable on the New York Stock Exchange and transferable. And I think that's really key to understand, and this is really key to the concept of distributing value to the shareholders. So what it does is, it gives you the ability to either take your warrant and sell it to another individual or to keep the warrant and exercise it over time and participate in the growth of the company and your investment in the company. We will, in the short term, in the near term, will be announcing just a record date and making further announcements about this. But I did want to just update everybody here on the call. Okay. I think that's what we want to cover on today's call. We are happy to open it up to questions from the audience and welcome your feedback.
Operator: [Operator Instructions] And your first question comes from the line of Anja Soderstrom of Sidoti & Company. Your line is open.
Anja Soderstrom: Hi and thank you for taking my questions and congrats on the nice progress here. So just in terms of this capital raise we're doing and you're canceling warrants, is this -- is there something imminent for you in terms of M&A? Or is this support that? Or is it -- what are you seeing in the M&A market?
Cameron Pforr: Yes. Thank you, Anja, and I appreciate you joining us today. No, it's not -- there's not a deal that's imminent that we're going to announce in the next week or so, but we are seeing a lot of opportunity. And so the desire was to -- one is to distribute value to our shareholders. And an added benefit is that it would -- to the extent that people exercise the warrant or exercise the right when we were envisioning that, is it would put more capital on the balance sheet. We make it just a little bit easier to do acquisitions of size. So that's some of the -- and really execute on that strategy. So it could be JV partnerships, it could be acquisitions. We're going to continue to make investments in the business regardless of how much capital we raise. And I think we will see some opportunities in the acquisition market as well. But having some more capital on the balance sheet as we continue to accumulate capital as well, will just help make sure that we can do acquisitions with a higher cash content than shares. And so that provides a better return to our investors over time.
Anja Soderstrom: Okay. Thank you. And in terms of those large contract wins you've been announcing, are those with the same customers or with different customers? You're also alluding to other sizeable contracts in the pipeline and also if they are with the same customers or different customers?
Cameron Pforr: Yes, these were with two different customers with two of our larger customers. We do have a number of other contracts that we expect to sign in the next few months, and it's really -- it's a variety of people in the avionics and also in the aerospace and defense space.
Anja Soderstrom: Okay. And then the connectivity partnership, how are you going to be working with that? And is that -- could that be also helping you source deals to absorbing them from eventually?
Cameron Pforr: Yes. So the connectivity partnership is something that's been discussed at this affiliate for several months. I think there's a large market opportunity for investment in the area. And they are establishing a team of seasoned investors and operators who know the space as well. And I anticipate that they are going to have pretty strong investment returns. Part of the interest on our part is that we focus on several markets where we're really trying to drive our revenue, but we don't have a broad view of all the markets where RF plays a role, right, or where connectivity plays a role in communications in general. So connectivity partnership is going to look at a broader set of vertical applications than we do here at M-tron. And so I think it will give us a good window into some of those market opportunities and allow us to invest through the partnerships in some companies that we might not have come across, but also gain knowledge of new market opportunities in areas that we should consider in the future for growth. And I think in terms of how does it benefit our shareholders, we're looking at it two ways. One is, I think it will generate significant investment returns to us over time. And also, I think it will give us the opportunity to partner with or acquire companies that we may not have come across on our own. So we're going to have a strategic role in the fund, but we're not going to be running the fund. And I anticipate that we'll have a right of first refusal on potential acquisitions of companies that come across. And also, there may be a lot of companies that, frankly, are too small for us to buy at this point in time. And if connectivity partnership can support them, it's wonderful. And we'll partner with them to drive revenue for both firms, or maybe we'll look at acquiring them down the road. So I think it's twofold really. It will be -- it will generate good returns on our capital as well as give us opportunities to acquire or partner with companies that we might not have seen yet.
Anja Soderstrom: Okay. And you mentioned you expect a strong revenue growth to come in and with a strong backlog and these contracts with, do you expect it to be the same magnitude as the near 20%? Or where are you anticipating the revenue growth to be in the next coming years?
Cameron Pforr: Yes, we've been guiding people to -- in terms of what we feel we can guarantee is lower numbers. So in the 10% growth range. We do have a desire to grow higher than that. And if you look at the last three years, I think we went to every single one of those years, expecting probably 7% to 10% growth. And we were pleasantly surprised with how we came out. This year is shaping up strongly. So we're doing well in Q1. And I think we do have a good chance of exceeding that. I don't want to predict 20%. There's a lot of headwinds in the market in terms of the dialogue that's going on in Washington and other places. I don't think it's going to impact us, but there are a lot of changes in front. So I think it's kind of prudent to stick with those numbers for now.
Anja Soderstrom: Okay. And then just in terms of the gross margin, you've also been talking about 45% before, but you've been beating that every quarter now. How should we think about that going forward and the product mix there?
Cameron Pforr: Yes, I think we're going to stay in the high 40s, to be honest. It will bounce around a little bit from quarter-to-quarter. But I think something in -- when we gave up the long-term model, we were talking about, I think 45% to 48%. I think that's reasonable on a quarter-by-quarter basis. And I expect our margins to kind of remain where they are.
Anja Soderstrom: Okay, great. That was all for me. Thank you.
Cameron Pforr: Thank you.
Operator: Okay. Your next question comes from the line of [indiscernible] Asset Management. Your line is now open.
Unidentified Analyst: Good morning. Thanks for taking my call. The first question, again, and I'm just not that familiar what's going on. So could you put into context what the connectivity partnership is? How much of the -- what sort of funding is the company committed to for right now? And then how big will that fund be? And just to clarify, that is the fund where your former CEO is taking a senior advisory role? And I've some follow-up questions.
Cameron Pforr: Sure. Thank you, [indiscernible]. So the fund itself is just being established. They're right now in the market building that team, talking to potential investors and also identifying and building out their deal flow. So it's not set in stone yet in terms of like the size they have to raise, but I think they anticipate raising about $200 million to $250 million, so a substantial amount of money. We look at being a part of the GP. So we would have some benefit from the carry on that -- on those investments. And we haven't determined yet the size of our investments. I don't expect it to be a meaningful amount of cash on our balance sheet. But I do think given our position in the market and I think getting it early with the fund, we will have a mean forward turn now. But we'll let people know that as it becomes more solidified.
Unidentified Analyst: Okay. And you mentioned I think that you'll have a right of first refusal. I mean, I see this fund a little bit as a competitor of your own M&A activities potentially.
Cameron Pforr: Yes. That's a good point, [indiscernible]. So that's one of the reasons why as we work with them, we are looking to establish the right of first refusal. So it's not a point of competition for us. We're really trying to delineate the types of things that they would look at and the types of things that we would look at. And for anything that's really in our wheelhouse, we would have the ability to transact ahead of them. But we looked at it and we chose not to, then I wouldn't see any reason why we wouldn't like connectivity partnership potentially get involved.
Unidentified Analyst: Okay. And changing gears to the second topic. I appreciate your comments on the continued cadence of activity with the DoD and for military replenishment. I think that makes sense. My question is, there's a strong organic growth path at the company. So can you talk about the hurdle for acquisitions as far as if you do -- and you've said you looked at bigger and you used the word accretive, accretive over what time, like immediately, year one and on what metrics, EPS, cash flow, adjusted EBITDA, that would be helpful? And then secondly, discuss your incentives, if you would, since you're new to the company, now you have a new role, so changing quick. Are your incentives in cash, are your incentives in stock? And how are the other members of the C-suite incentified and how you're going to get paid? Are you doubling the company with kind of equity at stake and how much kind of skin in the game for a successful accretive growth path for us as equity holders?
Cameron Pforr: Okay. And do you mind just repeating your first question, right? I've got the second one down.
Unidentified Analyst: The first question was the accretive nature of deals on what metrics basically?
Cameron Pforr: Yes. That's fine. Yes. Thank you for that. So yes, we've been looking at doing accretive deals. We look at it on an EBITDA-to-EBITDA basis. And we've been really limited to looking at things that are accretive almost immediately. So we're not looking to make big bets on new technologies, moving into production levels of manufacturing. And for things that are more on the come, we would look to probably be more towards partnerships, in forming of JVs. That's the way I was sharing in the benefit of helping them grow their business or grow our business. So those are -- that's some of the metrics. In terms of the size, we're really trying to buy things that have a couple of million of at least of EBITDA if not more. We do find though that when we look at the marketplace, I think currently, our margins are 5% to 10% higher than many of the companies we look at. And so we are trying to find situations that aren't going to drag down our margins over time. And where we can have an impact on that and hopefully improve their margins bring closer to ours earnings. Keep our business model the way it is. We think we have a pretty successful model at this point in time. We're really trying to exploit that. In terms of incentives, you had asked about that. Right now, the senior team is incented through salaries and performance bonuses that are cash based, based on the company's performance against plan. It's not really based on our stock performance, to be honest. And we are also -- we do participate as equity holders. So the senior management team either has -- most of them have restricted stock and which vest for a three-year period, and so they benefit from that. And there are periodic grants of stock or restricted stock to management team members.
Unidentified Analyst: Okay. That's helpful.
Cameron Pforr: And I would -- I can let you go, but I think the one thing I'd like to see as a holder since you are kind of targeting good and aggressive and that's positive growth targets. I think the bonus should be more equity-based to align you with holders better. I think that will be received well if you can look at that next go-around or next cycle and change that. Probably -- and if you're successful, probably it's better for everybody on the team anyway if you do that over the longer term if you're successful. So I would look forward to that change.
Unidentified Analyst: Okay. Appreciate that [indiscernible]. Thank you.
Operator: Your next question comes from the line of James Tivy. Your line is now open.
James Tivy: Sorry. Good morning. Thanks for taking the call. Hi Linda. Welcome Cameron. I have a very granular question related to gross margins.
Cameron Pforr: Okay.
James Tivy: In your Q3 earnings release, you mentioned that margin improvements were due in part to improved production efficiencies from previous investments. And I know today, on this call, you talked about efficiency of raw materials, which relates to crystals. Can you provide some clarity on the statement? It wasn't something we previously had seen. And are these investments, capital or human in nature? And how does the crystal yield would actually fit into this efficiency -- improved efficiency in your production?
Cameron Pforr: Yes. We haven't talked about like what our crystal efficiency levels are, but we are dedicating the resources to making improvements there, just because it's such a large portion of our COGS. So we have both consultants and engineering talent we brought onboard to help us do that as well as we are making investments in machinery to aid that. So I don't know if we can say more than that, but that's -- that is a core area of focus for us. We're also trying to be just more efficient in our purchase of inventories as well since that can be a large number as well.
James Tivy: Okay, thank you. That's all I had.
Cameron Pforr: Thank you, James.
Operator: That concludes our Q&A session. I will turn the conference back to Mr. Cameron Pforr for the closing remarks.
Cameron Pforr: So thank you very, very much for joining the call today and your interest in the company. I'm hoping that clarified a lot of things that may have risen in your mind as you've been reading from the press releases recently. We are really committed to providing shareholder value and doing that in a number of different ways. One way to do it is the warrant dividend now, which is what we're trying to pursue. We do realize we kind of stubbed our toe on the rights offering, hoping to make that good for you over time. And appreciate your support of the company and kind of the -- in our mission. So -- and also a big thank you to our employees who are on the call and their dedication to what we're doing here. And thanks for your time.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.